Operator: Good day, ladies and gentlemen. And welcome to the ATN International Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct the question-and-answer-session and instructions will follow at that time [Operator Instructions]. I would like to introduce your host for today's conference, Mr. Justin Benincasa, Chief Financial Officer. Sir, please go ahead.
Justin Benincasa: Thank you, operator. I apologize again little bit everybody, having a slight technical difficulty, but good morning. And thank you for joining us on our call to review our fourth quarter and year-end 2017 results. As usual with me here is Michael Prior, ATN’s President and Chief Executive Officer. During the call, I’ll be covering the relevant financial information and Michael will be providing an update on the business and outlook. Before I turn the call over to Michael for his comments, I’d like to point out that this call and our press release contain forward-looking statements concerning our current expectations, objectives and underlying assumptions regarding our future operating results and are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information to investors, our comments today include non-GAAP financial measures. For details on these measures and reconciliations to comparable GAAP measures and for further information regarding the factors that may affect our future operating results, please refer to our earnings release on our Web site at atni.com or to the 8-K filing provided to the SEC. And with that, I will turn the call over to Michael for his comments.
Michael Prior: All right. Thank you, Justin. What you didn't say before as I was the cause of the delay, so sorry everybody. So jumping right into it. Fourth quarter results as well as for the year reflects a substantial impact from the hurricane that hit the Virgin Island in September, stating the obvious. And then in our quarter, our jump in net income was also related driven by the full recognition of our storm insurance claims, which were paid in early 2018. While we expected that result it was nonetheless a relief to see it and timely as well in view of the urgent needs in the market. On the other hand, both revenue and EBITDA for our International Telecom Segment and overall, were negatively impacted by the continued widespread storm related service outages. And I'll touch more on where we go from there in a few minutes. Outside of that event, we had a quarter that was on a whole positive, and largely a little better than expectations. From one perspective, it indicates the strength of our model, which is a portfolio of critical infrastructure based service providers whether communications or power in largely unconnected markets. While the storms were an extraordinarily severe event in the Virgin Islands, our other markets in the Caribbean and islands region from Bermuda to Cayman to Guiana, all delivered positive results and continued to execute on their major initiatives. I think the diversity and market positioning of this portfolio and the platforms within it will serve us well moving forward as we focus on progressive improvement throughout the year and adjusting our U.S. telecom business for a contraction and shift in the market. At the same time, we continue to explore areas for further investment and growth. So with that, I'll turn to more specifics, starting with the International Telecom segment. And I'll start of course with the main event, which is the recovery from the impact of the two category five hurricanes that struck the Virgin Islands and rapid succession in September. So our immediate priorities, driven by necessity and realities on the ground was clean up of downed wires, damaged switching facilities and similar infrastructure, as well as support for our employees, many of whom had serious damage to their homes and the larger market. As the fastest path to bringing up critical communication services in the territory, we placed our initial restoration priority on our mobile network services, including the launch of our new LTE plant, which was brought up early in the fourth quarter and used both to provide mobile communication services and also replacement home and office broadband services, through the distribution of MiFi devices to many thousands of our former fixed customers. Simultaneously, we prioritized cyber-based broadband services to critical government agencies and institutions, including FEMA, the offices of the U.S. Virgin Islands government, banks and other enterprises required to get critical processes and services and the economy overall moving again. And our Viya team rightfully received some praise for these efforts. We then began work on the repairs and improvements, needed to our switching core and worked out on the main trunks to the extent that the power restoral efforts made that feasible or practical. This was slow going at first, because of the lack of available crews and other logistics unique to this isolated Island environment. The dam finally broke on those hurdles in the current quarter and we now have been able to deploy a much larger number of trucks and crews to accelerate restoral to all the core network and beginning to pick up the pace on the other necessary work. As a result, we are now making significant progress everyday reconnecting large numbers of customers. However, it will still be many weeks before we expect that substantially all of our customers reconnected and power to all of the sites necessary to achieve that. While restoration has moved slower than originally expected and in hindsight I am sure we could have done some things better, there has been no lack of effort or will involved and I want to publicly thank our team, both our employees and all of our contractors and partners for their diligence and efforts under very difficult circumstances. Looking forward, we face some critical decisions as we continue with the rebuilt as to have best from a technical, practical and fundamental business sense to do that. To that end, we have had an ongoing constructed dialogue with key regulatory and government officials as to how to find solutions to satisfy the critical concerns of all the stakeholders. So we were able to not just restore but emerge with a more resilient and robust infrastructure for this very hard hit market that will continue to face the risk of future storms. Lastly, the main industry in the Virgin Islands is tourism, and most hotels and resorts have not reopened, and some are not expected to do so until 2019. So that could stretch the timing of a full recovery into next year. In other markets in this segment, as noted, we saw some steady progress in most areas. Looking at subscriber levels and adjusting for exits or some smaller properties during the year, our wireless subscribers were essentially flat, but our fixed data subscribers increased by about 7.7%. Some of the data subscriber gains were offset by decline in voice or access lines of about 4.7%. But taking together, we see those as positive trends and consistent with our expectations. Much of the data subscriber growth is being driven by the expansion of our fiber network in certain areas, and those investments will continue on a careful selective basis throughout 2018. Wireless ARPU insurance both improved year-on-year with ARPU up 3.8% and blended churn down to 2.7% from 3% a year ago. These are good trends for the underlying economics. And ARPU growth mainly reflects increased data usage and plan adoption. So in U.S. Telecom, moving to that segment, the fourth quarter for this segment came in slightly better than we expected as certain of our smaller customers increased volumes and our earlier cost cutting moves yielded some benefits. We also added a small number cell sites in response customer needs. While all that is positive, that doesn't change the trajectory we outlined some quarter ago for 2018 and refreshed in the earnings release. We still expect contraction in the core business here before we have a chance to see top-line growth again. But we are very active in restructuring and re-pointing this business. We still have a lot of confidence in the team and the platform and we believe there are number of ways we can drive value over the mid-to-longer term horizon. Those efforts include everything from operating efficiencies to new wholesale and commercial offerings. We don't expect those activities to yield immediate benefits, but we hope they help us deliver improvements forward from 2018. Moving to the renewable energy segment. Nothing changes quickly in this segment, given the long term nature of the investments and revenue assets, but we did see continued signs of progress on our phase of builds in India and getting the final regulatory clearances to start earning revenue from the power being produced. In the fourth quarter, we made some structural changes to team and processes in an effort to improve the speed of execution and the operational efficiency. We have a substantial pipeline remaining, but we are being careful about how we proceed with that. And since funding partners are critical to our strategy, we are working through how and when it would be best to bringing those sources. We are still subscale and differentiated for the India solar market with our focus on private enterprise customers, and that's slowing us down a bit on the debt side of the funding. And while it hasn't significantly impacted perspective equity returns at this point, we do need to find a solution there. In other areas, we recently launched the corporate venture investment group ATN Ventures. Our focus is to invest in technology companies that bring strategic value to ATN and positively impact our operating businesses. We have hired experienced technologists, operators and investors who will partner with great entrepreneurs to build lasting value. So in summary, the hurricane had a major impact on the quarter and the year, but our network rebuild efforts are picking up pace as is the restoral of the other critical infrastructure in the territory. On the capital investment and allocation front, we made some important changes to our approach to dividends and buybacks, and some smaller investments we feel good about. While there will be some fall off in our U.S. telecom revenue base in the first quarter, primarily as a result of the asset sales we completed in 2017, we see 2018 as the year of progressive improvement from there as we benefit from ongoing progress in restoring service to the USVI, continue to grow our broadband and subscriber base -- our broadband subscriber base in other international markets and generate incremental revenues from our solar power plants in India. So Justin, I will now hand it back to you.
Justin Benincasa: Thank you, Michael. Getting into the number, so the fourth quarter total consolidated revenue were $107.7 million, down from $128.5 million in the prior year. The year-on-year decline was primarily due to two factors, the impact of the September hurricanes on the USVI operations that Michael just spoke to, which we estimate cost us $17 million in revenue, and last year’s sale of Sovernet, which contributed around $5.4 million in revenue in the 2016 fourth quarter. Consolidated adjusted EBITDA for the quarter was $30.8 million as we were able to mitigate some of the revenue losses in the Virgin Island with operating cost reductions. The adjusted EBITDA margin was 29% for the quarter and 31% for the full year 2017. There are certain non-recurring items this quarter in our income statement that are worth pointing out. First, we received full payment on our storm insurance coverage in the Virgin Islands of $34.6 million, and we received that in the first quarter of 2018, which was reflected in our Q4 2017 income statement and partially offset by approximately $2 million in additional hurricane related charges in the quarter. Second, for the quarter, we reported a net tax benefit of $6.2 million, resulting from the recently passed tax reform legislation. This concludes an $18.4 million benefit from reduced federal rates on our net deferred tax liabilities that was partially offset by a transition tax on foreign earnings or total charge of $7.4 million. Looking at specifics around each of our segment, starting with U.S. telecom. Revenue for the quarter was $34.8 million, down to $39 million in the prior year and adjusted EBITDA was $16.8 million, up slightly from $16.4 million in 2016. The revenue difference in the quarter related to the sales in Northeast wireline business that closed in the first quarter, which as I previously mentioned, accounted for $5.4 million of the decrease in revenue but was offset by organic growth in our wireless wholesale revenue. The EBIT impact for the year on the wireline business sale was negligible, thus we had a small increase in EBITDA for the quarter. We said before but it’s worth repeating that we continue to free cash focused and will be judicious in our capital spending in the segment. In the International Telecom segment, revenues were $66.9 million, down from $84.7 million last year and adjusted EBITDA was $16.8 million, down from $20.1 million in 2016. Almost all of the year-over-year decrease is related to the service credits and service disruption in the U.S. Virgin Islands. We were able to reduce a significant portion of the operating cost in the USVI while we prepare the network, but still recorded negative EBITDA in the market for the quarter. And as Michael noted, we expect service outages to continue into the first half of the year, but progressively improve as we move through 2018. In the renewable energy segment, revenues were up $1.1 million compared to last year if we start to recognize revenue on India’s power production. Revenues for the quarter were $5.9 million and adjusted EBITDA was up $0.9 million to $3.6 million. For the consolidated company, net income was $43.5 million or $2.71 per share. Net income excluding the insurance proceeds and additional hurricane charges for the quarter was $10.9 or $0.69 per share. Also included in operating income was $1.5 million of non-cash stock-based compensation expenses for the quarter. Looking at the balance sheet. At the end of the year, we ended the year with cash and short-term investments of $215 million and for the year, cash from operations was $145.7 million, up 30% from $111.7 million in the prior year, and we ended the quarter with total debt outstanding of $155.8 million. Capital expenditures for the quarter totaled $34.1 million, of which approximately $4.8 million was incurred by our U.S. Telecom operations, $26.1 million by our International Telecom segment and $1.4 million in the Renewable Energy segment. Included in the International Telecom segment for the quarter was approximately $13 million incurred in the USVI for hurricane restoration efforts. For the year, capital expenditures were $142.4 million, of which $103.1 million was incurred by our Telecom segment and $30.9 million with spends on the construction of solar projects in India. Moving into 2018. We expect capital expenditures in the Telecom segment to be between $65 million and $80 million, not including estimated costs of $35 million to $45 million on restoration work in the USVI, some of which will be paid for with insurance proceeds. Looking ahead to 2018. There are few points to note for modeling purposes. As we mentioned, we expect the U.S. Telecom segment to be in the range of $110 million to $120 million. This is a slight uptick from what we thought when we provided guidance in the segment earlier in the year. And close to two-thirds of that reduction from the 2017 levels relates to two significant asset sales that we spoke about earlier, the Northeast wireline operation which we closed in March, as I mentioned, and the previously disclosed sale of the 100 wireless sites to a carrier customer that we expect to close in early 2018. Our effective tax rate has ranged from 20% to over 45% over the last five year, depending on the mix of revenues in different tax jurisdictions and from several one-time items impacting taxable income, which we saw this quarter. We do anticipate a positive impact from U.S. Tax Reform on both our cash taxes payables and our effective tax rate going forward, but changes to our mix of revenues in certain jurisdiction can also impact that rate. Having said that, based on estimates today, we think a good 2018 effective tax rate is in the mid 30 range. And operator, I think at this point we'll turn the call over to questions.
Operator: Thank you [Operator Instruction]. Our first question comes from the line of Ric Prentiss with Raymond James. Your line is open, please go ahead.
Ric Prentiss: Obviously, you guys were hit hard by the hurricanes, making some major efforts spirit of service has been in the telecom industry a long time, so I know what you're going through. Just want to make sure I understand what you guys were saying. There obviously the employees have worked hard. When you mentioned that international revenues would still be down significantly, I assume you're talking year-over-year not quarter-to-quarter, because there should be -- I would expect, some recovery as you go from 4Q '17 into 1Q '18 and then into 2Q'19. Is that correct interpretation?
Michael Prior: Best way to probably look at is Q4 and Q1 will be similar, because we still have a lot of outages. But then starting into Q2, it will start to ramp back up.
Ric Prentiss: I just didn’t want to think that 1Q '18 was going to be worse than 4Q '17.
Michael Prior: No, but not much better.
Ric Prentiss: Just in the press release last night just read a little bit. I was just trying to figure out were you talking year-over-year or quarter-over-quarter, that make sense. On the India process, I think you mentioned in the press release, you might be getting up to $6 million to $7 million in revenue per annum. Is that like the exit run-rate, have you already hit that run rate, when we look at 4Q, '17. Just trying not to gauge what Phase 1 India kind of the pacing of that into the renewable energy area?
Michael Prior: I'd say, we're trying to start -- we're pretty close to hitting out run-rates today. We have a couple of more sites to bring up in the second quarter. But there is a little bit of bank revenue that will come into play as well. So I'd say it's safe to assume we've hit that run rate.
Ric Prentiss: And then Michael you're pretty clear that the pipeline is still substantial in India, but funding solutions. How should we interpret that from a timeline standpoint of when you might be putting more of the pipeline to work?
Michael Prior: Our belief all along has been given the very large capital needs for any in a new power plant, our model has always been to bring in funding partners, which allows us to get greater economies of scale, lower cost of capital, diversify and broaden the portfolio and increase competitive advantages in acquiring a new pipeline and funding new pipeline. So what we're seeing in India though is that process isn’t proven enough. And so we're just being careful about we're ready to put more money into it, but we want to see the other folks come in. And we have a lot of discussions ongoing about that. I think there is lot of big infrastructure funds that are anxious to put money to work. But our approach in India is a little different than maybe utility builds that have mostly characterized that market. And so that's just in the process and it's going a little slower than we had hoped. But I think we still believe that demand is there and there is value to the pipeline.
Ric Prentiss: So could still be some changes, but not ready to call from once you get some people lined up. And you’ve always mentioned that you would be providing maybe some more clarity and details on that business once you did have some funding in place. I assume all that’s linked?
Michael Prior: It is, and I think what we tried to do today, here is what we built today, this is Phase 1 and it’s partly a test of a strategy. And if we don’t get the right things in place, we wouldn’t necessarily -- we’re not going to sole fund Phase 2, Phase 3 in that market, at least the way we're looking at it now. And so really the way to think about it, we’re at Phase 1 and we’re exploring different alternatives around how we expand from there where we go from there.
Ric Prentiss: Speaking of it exploring, I think in your prepared remarks you mentioned exploring other areas to invest. The tax reform act maybe opens up some more possibilities of having money available for organic and strategic growth. You mentioned that corporate venture fund. Help us understand your leverage is negative net debt leverage. So help us understand what you're looking at, what geographies, what verticals, what are the guys tasked with over corporate venture?
Michael Prior: Corporate venture is little different, so I will go to that last. In terms of the big dollar investments in the bigger -- short term impacts on the business, I think as I said, we're pretty active out there. We are focused on a couple of things that never means that we aren’t open to being opportunistic about things that might seem to fall outside it. But in terms of our efforts, there is -- on the telecom side we still -- we really liked shared infrastructure. We think there is an absolute need for various layers of growth and investment in shared infrastructure. There is just ever growing expansion of distribution network for data connectivity for ubiquity to improve latency, speed, capacity. I mean it’s just amazing looking at that how fast that’s growing and the needs. And the problem for the retail side of the equation is the revenue isn’t growing like the cost. And so we just see that -- and just common industrial logic says, one of the answers to that is to have more shared infrastructure solutions and economics that really work for those retail carriers. So we continue to explore that, that’s all sorts of things, from fiber to -- we've done some small additional investments and basic stuff like towers, both in the U.S. and overseas. But there is all sorts of parts of the fiber infrastructure, even the wireless access infrastructure that we think has promise in that vein. So that’s an area we continue to look at and want to make sure we have substantial capacity to invest in, if we’re able to find the right avenue or avenues to do that. So that’s a big one. And the other one is we still believe in distributed power generation -- not still, I mean we really believe that there is going to be continued change in the power generation industry sparked by renewable cost curve coming down by potentially improvements in the storage cost curve and technology, that really need some more distributed power generation, and we think that market is at a time and place where a player our size could see significant opportunity. So those are the two major themes. And on the venture capital side, that is -- the better way to think about that is that's relatively small dollars in terms of what there, the main task there looking at. And it is designed to give us much better visibility and adoption right on technology, which is changing very rapidly in our industries. And we think there is a lot of potential to improve our existing operations by doing a better job of that. And the idea is you do that at the same time well, at least covering across, hopefully exceeding them by some of those investments. So it’s about technology adoption more than anything.
Ric Prentiss: And is that where you’re going to throw your one web little friends and family piece?
Michael Prior: Well, I mean, I think that's basically done but that is a type of -- that is a similar type of thing. That is about very interesting offering that could really change a lot of dynamics in markets we're in or look at. And so we wanted to be in the inside seat there, so it is a similar concept.
Ric Prentiss: Great. Well, again hats off to your team in the Islands area. So it’s hard work but actually essential for those people to get their lives back together. So good job on helping recover.
Operator: Thank you [Operator Instructions]. Our next question comes from the line of Hamed Khorsand with BWS Financial. Your line is open, please go ahead.
Hamed Khorsand: So I just wanted to start-off with, as far as India is concerned, are there going to be more challenges lays as you ramp that business as far as billing is concerned?
Michael Prior: I don't expect any challenges in the sense of once power plant has gotten five more regulatory clearance, we’re billing. It’s a service the customers are very happy to have, they are very happy to have both power and the pricing that they signed up for. So don't expect anything once you get to that point.
Hamed Khorsand: And then on the U.S. wireless end, do you still think there is opportunity to expand that business, or you really given up on the wholesale end?
Michael Prior: No, I think if you heard the theme, we haven't given up. I mean if you heard the theme like talked about, I think actually what we are offering is more timely than ever. But it’s complicated and there is a number of different ways to look at that. But we certainly haven't given up on the idea of expanding that wholesale offering.
Hamed Khorsand: And then CapEx likely to change given the investments that are going on, or starting to go on for 5G, and doesn't that actually have a effect on using you guys as a backlog service?
Michael Prior: Well, I'm not sure. I think you’re mixing a couple of things there, Hamed. But to talk about 5G, I think in the U.S. market, I think that's ways off or being relevant. It's just -- you just don't see the same. In terms of 5G as a way of provide ever greater amounts of capacity in denser areas, it's just not that relevant in our areas where -- which still remain more about coverage and a different level of data demand. It is important to have those data capacity and speeds, but it's not. I think it’s well behind in terms of need, the areas of people are focusing on now for 5G. So that’s always been the history here. It eventually will come up to the next generation of technology but it tends to trail at relatively significantly. I mean we just didn’t -- adding 4G to a number of those areas by illustration. And then in our retail areas, we're doing trials like everybody else and examining use cases. I don't think there is any imminent need to do major new investment and we put a lot of money and capacity in those networks and data functionality recently. So don't see anything in the near term.
Hamed Khorsand: And last question is with Guyana. What kind of penetration rate are you seeing as far as the broadband subscribers?
Michael Prior: I think I'd rather not give that out from competitive -- as a specific from competitive reasons. But I think that we seen a very, very rapid adoption of higher speed services as we bring it in, little bit better than we expected, quite frankly.
Operator: Thank you. And our next question comes from the line of Allen Klee with Sidoti. Your line is open, please go ahead.
Allen Klee: Just wanted to follow up if I heard correctly. Did you say that we should be using around mid-30s tax rate overall? And if so that's the rate I think that you also modeled, told us to model for the year before. And I'm just wondering given the changes in the U.S. tax code, why that wouldn’t be low?
Justin Benincasa: It really has lot to do, Allen, with the mix of businesses and jurisdictions where you got markets like Bermuda and that have no tax zero income tax. And so our mix of business can impact that. What I would tell you is -- this year was unusual, we had a lot of stuff going on. If you look back over the last five to ten years, we had more years in the mid-40s than not. So if we had unusual items that might have impacted that. But I would say it's mid-30s versus mid-40s as a historical rate as a sense of comparison. So there is benefit from it to us.
Michael Prior: I think maybe just add to that. I think the last thing that Justin said is the most important thing to understand. Because when we take the blend of portfolio, that overall effective tax rate is a little bit really hiding what is behind the scenes in terms of what's the cash impact on any portfolio business. And so when we look at 2018, we have spend a lot of money on network upgrades in Bermuda, as you know, in last year so, and also came in. And so that brings down pretax income in those markets, which is same thing as post that income, because as Justin said, they have 0% tax rate. So that means that in our overall blend, the 0% jurisdictions are getting accounted for less and it accentuates the higher tax jurisdiction so even with the U.S. coming down. And then we're expecting some contraction in the U.S. side, which brings that number down in terms of the impact on the whole. But I think that the fundamental point is that we view it as quite positive from our ability to more efficiently allocate capital amongst the group to the most promising opportunities. And we also view it as we had to do, which is reflected in the bookings we had to do reflected as a positive in terms of our balance sheet liabilities going forward.
Allen Klee: And then for India for the financing that you’re considering, is there a sense of the size of what that would be.
Michael Prior: I think in the U.S., you tend to put on the debt financing, you tend to put in this similar thing the commercial industrial area, people tend to put 60% to 70% gearing. So if you look at the cost basis, the capital cost to build. India is -- we've always expected to be well below that, so call it in the 40% plus range, and that’s always been part of the model. As to the equity side or the mezzanine side, I mean that really remains to determine, that’s based on the cost of capital really and what the opportunities are to redeploy. So we don’t really have a number.
Allen Klee: And just remind me, how many megawatts is associated now with the first phase of the India.
Michael Prior: We’re a little bit less than 50 now, but heading up to 50ish.
Allen Klee: And then any comments on Guyana market just overall in terms of how it performed?
Michael Prior: It performed pretty well. There is some good improvements in a number of areas. I think we still think we're not optimized yet to take advantage of some of the things we see. But it made some nice ground, there was some good achievements there. But I think try not to get in to extensive details on each individual market. But overall, I think we feel good about it but there is more opportunity to come. We see the economy growing there and we think that’s a positive for us.
Allen Klee: And finally back to India. Given you’ve gotten the first phase on and to the extent at some point you move on to the second phase. Do you feel that what you’ve gone through with the regulators and your process that if and when you do a second phase, it would happen at a faster pace than first one?
Michael Prior: I think, we’ve improve the things internally that will definitely help it. I hate to take with you too many predictions about things that are outside of control. But look what's more important is revising our assumptions on timing and things, and that's the more important part. I think we’re better informed investor and operator going forward.
Allen Klee: And then keeping in mind, our first phase is we’re developing processes, procedures and all that and finding our way through some of that in new market. So I think at this point, we’ve developed a lot of that…
Michael Prior: It should be better…
Justin Benincasa: There is help with the efficiencies.
Operator: Thank you. And I am showing we have a follow-up question from the line of Ric Prentiss with Raymond James. Your line is open, please go ahead.
Pic Prentiss: Seems like questions are light, I had a couple other clean up questions. Justin, you mentioned the booking in 4Q of the insurance payments recoveries, but the cash came in in 1Q. Did the cash come under the balance sheet, how should we think about that balance sheet change looking 4Q versus 1Q?
Justin Benincasa: We basically booked a receivable for it, because we know where we’re getting at. So it would be -- at the end of Q1, you see it in the cash balance to the extent that what is spent on capital.
Pic Prentiss: So cash could pop up in 1Q by taking the receivable up. And then you guys had changed your dividend policy previously, there is some stock buyback in the third quarter but not in fourth quarter. Help us understand how we should be thinking about capital allocation and stock buybacks and when it looks to think you might do it versus not do it obviously also what it means on liquidity?
Justin Benincasa: I mean we’re continue to be opportunistic. Keep in mind we’ve been doing the buybacks through the Safe Harbor, which limits the windows of opportunity to act. So that's right with lot of what we do but we'll continue to do that, we don't really want to predict that it’s balance of all the different uses from an external investments to internal investments, to investments in our own stock and volume back.
Pic Prentiss: And the last one I’ve got is, Liberty Latin America is now out there with its own currency. What are you seeing from them in the marketplace if anything and what are your thoughts on them being now standalone public company?
Justin Benincasa: I think it made a lot of sense for them, because it’s a different region, different attributes and its always leave them alone specialty to make sure that the equity pricing is most closely related to the different businesses, and that allows them to be strategic in their -- whether its stock buybacks to stock to raising equity financing and the likes so it makes a lot of sense and I think from an organizational standpoint sense, probably makes sense. But we don't see a lot of them directly, we see them in really and only one market directly. And we think they’re focused on big market first and smallest market second and they had some real opportunity ahead of them.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to Mr. Michael Prior for any closing remarks.
Michael Prior: Thank you everybody for bearing with us and sorry again for the short delay at the start. Take care, everyone.